Essi Lipponen: Hello, and welcome to Fiskars Group's Q4 and Full Year 2025 Results Webcast. My name is Essi Lipponen, and I'm the Director of Investor Relations. I'm here with our President and CEO, Jyri Luomakoski; and our CFO, Jussi Siitonen. Let's look at the agenda for this webcast. Jyri will start with the key takeaways of the quarter and the year. After that, Jussi will continue with the financials. Then back to Jyri, who will go through business area development and also talk a bit about how this year looks like. After that, we will have plenty of time for your questions, and we will welcome questions both through the phone lines and through the chat. You can type in your questions in the chat already during the presentation. Please go ahead, Jyri.
Jyri Luomakoski: Thank you, Essi, and good morning. Just briefly before we dive into the numbers and what's been happening in our two businesses. Key takeaways, there are some highlights, some lowlights as always in life. What we think was really important that our Vita business area actually had both Q3 and Q4, two consecutive quarters growing and that brought also the group numbers to a what I would call a green or black zero in terms of top line. This we need to bring into the context of Vita having had before these two growth quarters, more than 10 quarters of negative growth or flat top line. And of course, as we started in the summer, focusing on cash flow that those efforts were bearing fruit and the cash flow in the fourth quarter was also quite strong, and Jussi will go deeper into how strong and record-breaking that was. But of course, the lowlight is that our comparable EBIT declined, and that was impacted by our own actions predominantly, i.e., curtailing our production to manage the inventories to manage cash, and this had a price tag consequently on the EBIT. This morning, we also announced our plans to turn around on BA Vita's performance and also, we'll address that a bit more in depth in a few minutes. The Board made their proposal to the AGM, and that is to maintain a stable dividend as our policy is saying, stable or growing, EUR 0.84 per share to be paid in four installments. And '26, we expect our comparable EBIT to improve from the '25 level. But that was the key kind of highlights, key takeaways as an intro and I'm happy to hand over to Jussi, please.
Jussi Siitonen: Thank you, Jyri, and hello, everyone. Let's start first with Q4 and then go to the full year here. When it comes to net sales there, as Jyri mentioned, we were able to report positive growth now in Q4, 1.3% at constant currencies. It was very much driven by Vita. The good thing also is that this growth was very broad-based. When we take our top 10 countries at group level, 7 out of top 10 countries were growing, including USA, Sweden, Japan, China, Australia being the ones which were at this kind of mid even to high single-digit type of growth. On EBIT, we came down EUR 10 million versus last year. Out of this approximately EUR 10 million, a bit more than EUR 4 million was Vita related. The remaining part was quite evenly split between Fiskars BA and other operations. Gross margin came down 200 basis points to 47.4%. Roughly 150 of this 200 basis points was tariff related. And as Jyri mentioned, the focus what we have had in second half, especially now in Q4, was there on the cash flow. And we are able to report now all-time high Q4 free cash flow. And actually, this Q4 was the second best quarterly cash flow overall in the recent history of this company. Moving then to full year results. So here, we came out with a flat top line. And despite this flat top line, we had countries with solid full year, high single-digit, even double-digit growth like Sweden, Japan and China. On EBIT, we were down EUR 35 million versus last year at EUR 76.4 million. There were three main reasons for this drop what we had in EBIT. The big one and the main one is low production volumes and negative variances that one that especially in Vita. Then we had more investment in demand creation, especially in marketing. That's on one topic there and tariffs, which we were then able to partially mitigate, but that was the third big reason. When it comes to full year gross margin of 47.1% there, which was 170 points down versus last year, roughly 100 basis points out of that 170 was tariff related. And despite the strong second half, especially Q4 free cash flow, our first half cash flow was rather challenging. And there, for the full year, we were short roughly EUR 5 million versus last year. Let's dive a bit deeper at these changes what we had in full year when it comes to EBIT. And let's start here on the right, BA Fiskars. So, BA Fiskars, as you can see here, the tariff impact what we had, BA Fiskars was able to fully practically mitigate the negative tariff impacts there, mainly through the OpEx efficiency improvement, but also the underlying gross margin, excluding the direct tariff impact improved in 2025. Then Vita here in the middle, you can see this gross margin negative impact there coming from those low production volumes. What I would like to highlight here that it's very production volume related, not sales volumes, therefore, this kind of promotional sales, what we have had, they have mainly been there for those categories which are end of the line anyhow. So, the big decline is very much production volumes. Moving then to the cash flow. As I mentioned, we were able to deliver strong Q4 cash flow of EUR 91.5 million here, EUR 22 million better than last year in Q4. That's mainly driven by change in inventory. So, we were able to take inventories down in Q4 by EUR 35 million approximately, which is almost the same amount more than what we had last year in the same period. Also, the tight CapEx control what we put in place, we were able to cut CapEx by EUR 6 million versus last year same period. And then on a full year basis, however, the inventories continued increasing by EUR 11 million on a full year basis. There also the CapEx was partially compensating or reduced CapEx was partially compensating this one, but the full year cash flow of EUR 76.3 million is some EUR 5.5 million behind the last year. Then on balance sheet. So net debt to EBITDA, we came down in Q4 from 3.7x to 3.3x in one period. Net debt came down EUR 92 million in Q4. And out of this EUR 92 million, roughly EUR 20 million is relating to lease terminations and the rest, roughly EUR 70 million is pure cash flow driven improvement what we had there. Of course, this 3.3 is not what we have given as a target of 2.5, but important is that we are now able to demonstrate a declining trend there when it comes to our net debt EBITDA. Then the last but not least, when it comes to our sustainability targets there, if we start first with focus more here on those environmental targets, we were able to improve slightly our circularity targets being 50% by 2030, 50% of our products and services are coming from circulated materials. So now it's 27%. So we are well up to speed to this 50% target by 2030. Of course, all these kind of, I would say, low-hanging ones are already implemented, so getting the target is getting challenging and challenging as we speak. When it comes to emissions, both Scope 1 and 2, we were able to improve. Now it's 62%, target being 60% by 2030. So, it seems that we are already there. However, this is very volume related and volume driven. And now when the volume has been a bit down, also this percent is improving. Once the volume are increasing, the 60% remains to be a good target. The only environmental target where we are behind last year related to Scope 3 emissions for transportation. Now it was 18%. The main reason is both sea and road freights in U.S.A., partially because of higher volumes, partially also because of the way our carriers defined these emissions. That's very shortly where we are with the numbers. And now giving it back to you, Jyri .
Jyri Luomakoski: Thank you, Jussi. what's been up in our businesses, Vita. Net sales growth that we mentioned and also the comparable EBIT decline and what was the key driver there. So 4.6% top line growth in Q4 and 3% for the full year. And this is, of course, a prerequisite that we have growth helps turning the business around. When we look at sources of growth, D2C sales performance was good and both Danish brands, Georg Jensen, Royal Copenhagen performed nicely as did Momin Arabia. Of these 2 celebrated also big birthdays, Royal Copenhagen got 250 years last year and Moomin as a character filled 80. And when we look at the drivers behind the top line, Jussi already mentioned and we've been reading in many reports around our company that the decline in profitability would be relating to the inventory actions in terms of sellout but that's not really the case. It is really the scale down of production. And as a consequence, when you start to curtail production, you have still fixed costs that are not absorbed by the inventory, and they are expensed immediately. So it's been very active and deliberate actions that we've been doing. This morning's announcement, big changes planned for Vita. And clearly, we want to reset the brand with a structure that it's meeting our ambitions, building global iconic desirable brands and scale for profitable growth. It involves also structural changes in terms of some business unit combinations, which are not impacting the kind of sales end necessarily, but more the back office and the overhead structures within Vita. And that's extremely important. We also mentioned a few moves already that are now kicked off in terms of manufacturing in Denmark, moving our distribution center from the U.S. East Coast to more kind of e-com optimized location and at the same time, outsourcing it. So, creating a more of a variable cost structure there. So these are the key kind of actions. But then what do we expect as a result out of here? We expect a net reduction of approximately 310 roles when the program is completed. That means then upon completion, we will then have annual savings of around EUR 28 million. And of these, in H2, as we have now announced the program and the plans, this triggers employee and union rep consultations in different geographies, they take their time, then having after those processes conclusions and taking then the actions that those consultations have arrived to means that the economic benefits of the planned program start to trigger in the second half. So approximately 1/3 of the EUR 28 million is expected to be income statement effective and impact our profitability in this '26 in this year, but that happening really in the second half of the year. And then of the rest, there will be some tails flowing into '28, but the majority of the rest in '27. Our estimates of the one-off costs, which would be recorded then as items affecting comparability is in the magnitude of about EUR 9 million. Some highlights in the business. I mentioned for Copenhagen's 250 years anniversary, a big event in Copenhagen at our flagship stores, which is attracting a lot of people is the Christmas tables settings, and that's really drawing crowds and keeping the interest up in the brand. Moomin Arabia launched the -- actually the largest collection, festive moments and that was subject to pretty high demand because the MAX was sold out during December. That's what the desirable brand is. Collaboration between a fashion brand, JW Anderson and Wedgwood also delivered good engagement and commercial traction. And for New Year's Eve, if you happen to spend it at Times Square in New York, you would have noticed the Waterford crystal ball coming down, and that's also now visible in the shop-in-shop at Macy's flagship in New York at Herald Square. So, market kind of being more active and visible in the market. And as we see from the growth numbers, these things also bear fruit, which is extremely important. Moving to BA Fiskars, decline in the top line and tariffs, we were pretty much in the epicenter of the tariff topic as a business with our significant exposure to the U.S. market. So comparable net sales declined 7% in Q4, snow came a bit late for the fourth quarter in Europe and in the Nordics, which is a big kind of a seasonal market for snow tools in those years where there is a lot of snow and 4.6% for the full year. And tariff uncertainties, recall last spring when the tariffs kicked in, that was a big situation where consumers were confused and trade was confused, what's going to happen, et cetera. Excellent mitigation work by our teams and things started to stabilize. And Jussi mentioned in the U.S., actually, at the end, our business was growing. And this tariff mitigation has been an important achievement and extremely critical for having what I would call still having seen some of our competitors and peer companies reports, I think we can be proud about the margins we've been able to sustain also despite the top line decline. Some highlights, already in November, we arranged a get to know BA Fiskars event for investors and those materials have been available to the public pet care line has been well received by the market. That's important. It's about minus 10 centigrade in Helsinki, a lot of snow and many other European geographies are also freezing. So, Fiskars Power, which is now the first products have been shipped actually to stores. It's not yet the high season for these products. I don't know where I would use it, even though I'm definitely myself also personally going to buy one. But this is a type of a sample. The slide was not wide enough to bring the entire innovation fireworks to the slide, but many, many good and nice things that have gained shelf space and traction in the market are coming from our Fiskars business area. With the financial statements release, the Board also announced their proposal to the Annual General Meeting of maintaining the dividend at EUR 0.84. This is when you look at the payout ratio to EPS, indicating a very high payout ratio. We need to remember that these items also include our EPS some write-offs and so forth. But then on cash earnings per share, about 2/3 is in line with the proposal to be paid out. The change to earlier practice where we have been paying dividends in 2 installments, one in the spring, one in the autumn is actually to get into payout per quarter, so March, June, September, December payout, also matching our cash flow pattern in our normal business seasonality better. Guidance. So we are expecting our comparable EBIT to improve from the '25 level, '25 level was 76.4%. And what's behind that thinking? We recognize that the uncertainties in the global economy will persist also in '26. We clearly count for the EBIT support from the planned changes in BA Vita in the second half of the year. Our active tariff mitigation efforts have been successful last year. And based on that performance, we have a confidence that we will be also successful in '26. The flip side is that the inventories, even though we had a significant decline in our inventories, we want to further improve that net working capital item, and it will have some negative impact, and at the same time, we also know that the U.S. tariffs, remembering that liberation day was in April '25. So after -- right after the first quarter. steel tariffs came into force in August, if I recall the date correct, and those impacts then annualize into '26. We do not give quarterly guidance, but I think it's important to remember these key aspects, Liberation Day, April, so Q1 last year's comps are pretty good. Second half impact from the Vita changes and steel tariffs started in the third quarter last year. So just to keep those in mind when you are modeling how the year would look like. And this is maybe prophylactically addressing if there is a criticism that this is a Fluffy guidance, yes, it is to some extent admittedly. But if we have started this morning in the first countries, change negotiations and similar consultation process with our employees on the Vita program, they take their time and then to implement then the conclusions and the decisions as a consequence of those negotiations are topics that we thought that it's better to be coming out now with this type of guidance. And then when things advance and we know more on the precise kind of timing of certain actions and so forth, it always leaves us some room to clarify and specify more in depth the guidance. Some of our teams have been very active over also the last weekend advancing the technical part of our separation of BAs into subsidiaries. So those splits into entities in some major countries have also now taken place. So, we think that we are well on schedule with our Q1 deadline having the legal structure behind the BAs also implemented, which then will also help us in terms of the transparency measurability, for example, to the exact capital employed in each of the businesses. So, this is moving ahead as planned. And that's maybe the good segue to the paid commercial, so to speak. We are planning to arrange our Capital Markets Day on May 12 in Espoo, Finland, which would be then for institutional investors, analysts and then, of course, online attendance open on a broad basis, and this is now the plan a bit after we have completed the incorporation of the BAs and have more transparency also to shed some light into those aspects in May. Look forward to meeting you there. So, in summary, key takeaways. top line growth in EBITDA, where that was not the routine and practice over the last prior 10 or 11 quarters, now 2 consecutive ones is giving, of course, also forward-looking us confidence that we can grow. We know the elements for that cash flow, important for managing our balance sheet and capital structure. EBIT decline last year, really driven in a big way by our own actions to focus on cash flow. So that's the other side of that coin. Definitely, the beta plans now going into negotiation and thereafter to execution, dividend staying stable, moving to a quarterly payout on the dividend and then guidance growing or improving the comparable EBIT from last year. That takes us to Q&A.
Operator: [Operator Instructions] Yes. Thank you, Juss and Jyri. Let's first see if we have any questions through the phone lines. The next question comes from Maria Wikstrom from SEB.
Maria Wikstrom: Yes. This is Maria from SEB. I have 3 questions, and I would like to take them one by one. So I'd like to start with the top line growth in Vita. So if you could discuss a little bit more specifically, I mean, which markets you see performing better than the other markets. So which markets or geographies were behind the growth in the fourth quarter?
Jussi Siitonen: Yes. So as I said, the growth was very, very broad-based on what we had in Q4. And bearing in mind that actually Vita came down and Vita was the one growing. So if I'm right, exactly, 9 out of 10 top countries for Vita were growing. So it was broad-based, big countries covering 90% of the business. At the same time also when it comes to channels we were able to demonstrate a good growth. Also when it comes to consumer, 80% pulled up and with an E-commercial only 12% up in Q4. Without going to each of the countries, is where broad-based [indiscernible].
Maria Wikstrom: So what would make you confident this time around that, I mean, making this large cost saving effort that you will actually record the savings on the EBIT line?
Jyri Luomakoski: And for me, having joined this role as an interim in April, it's easy to say we haven't, I fully agree, we haven't been perfect in executing. Some of the old programs where it's been -- yes, I've seen at that time as a Board member that, yes, a lot of people have departed, but kind of gradually, there's been some type of a revolving door filling back some of the positions. And that happens quite easily when you look at different businesses and these type of programs. What I think is the key differentiator here is that there are structural changes, combining some of our business units, changing really the org structure and clarifying the accountabilities, but those structural changes drive then reductions in certain overhead functions and so forth in the marketplace. So that clearly drives the confidence that these are there to stick and it's on a very frequent loop by group management, by our Board and definitely every quarter by the market that we are executing what we have promised.
Jussi Siitonen: Maria, on that one. So you're absolutely right, bottom line matters. At the same time, what we have seen is quite, I would say, even dramatic top line drop what we have had. So therefore, loosing the volumes at the same time driving fixed cost saving actions there. Many of those actions are just there to mitigate the volume drop.
Maria Wikstrom: And then my final question is on the gearing as I think it surprised me and I think part of the market that you the Board of Directors decided to keep the dividend flat compared to last year, even that, I mean, the gearing is down, but we are still much above the target level at 3.3%. So when do you expect, I mean, to reach the targeted gearing level at 2.5? And what makes you so confident to pay out the last year's dividends with the current gearing level?
Jyri Luomakoski: So, you refer, I think, to the leverage here and where we have set a target to be at maximum 2.5 and that target is still valid. Important is that we move towards that one. And of course, when the Board considers the dividend proposal to the AGM, they inquire management and look at our long-term plans and the capital needs and also the confidence in our plans to further reduce inventories or improve our net working capital performance. And that's typically then having set many years in the Board on the other side of the table, so to speak, to drive the confidence what is something that's good and the right balance of rewarding shareholders but at the same time, being true to the targets that the company has set and the needs of the business. And from that perspective, that has been basically the process.
Jussi Siitonen: Yes. As I said, it was very encouraging what we did in Q4, getting net debt down by EUR 92 million out of EUR 70 million something was really cash flow driven, the remaining being those lease terminations. On that one, we have been also quite openly said that the potential what we have there in trade working capital, no matter what are the measures, what are the KPIs you are using and benchmarks there based on our previous performance pre-COVID time, we do have roughly EUR 100 million potential in our net working capital. The actions announced today are also targeting this excess inventories, excess working capital, what we have. So we do have sources available for internal funding.
Operator: At this point. The next question comes from Joni Sandvall from Nordea.
Joni Sandvall: Maybe continuing still with the cost savings program. Can you give any more color on the rightsizing of the business? I mean, are you expecting to exit some production site out of the Nordics? Or how should we view this? And what is your actual target for own production levels in Fiskars.
Jyri Luomakoski: The announcement does not lift any exits per se, but rationalization, what we do and where that's one of the key parameters here. And the aim is, of course, to right size the production, the supply to match the demand and the fact that we still have inventories, as Jussi alluded to, that net working capital has some room to improve, and that's driving those. But they are now subject to the negotiations in different sites. And consequently, after those negotiations before I start to put dots to the map. And then after that, we can give a bit more flavor and update on the, say, geographic coordinates.
Joni Sandvall: Then maybe a question on Fiskars BA. There has been strong mitigation of the tariffs. But how confident are you now entering into '26? And how we should view the net impact from current steel tariffs and mitigation actions for '26?
Jussi Siitonen: Yes. Joni, as I said, the impacts what we had in 2025 and how they were mitigated mainly through OpEx savings so that the underlying gross margin improved. The toolbox is pretty much the same. The impact -- the incremental impact of the tariffs, of course, is the whole Q1 when it comes to those liberation-based tariffs and then impacts from the steel tariff from August onwards. The plans for Fiskars BA has in place are still targeting to mitigate these impacts there. What's the magnitude there? It's a bit -- I would say it's a bit less than what it was in 2025, but we are still talking about a significant amount we are now mitigating through those very resilient plans what Fiskars BA has put in place, including also this production re-foot printing.
Joni Sandvall: And maybe a question also, you have now the new categories, the first batches sent to the retailers. So could you give any indication of what level of sales should we expect from these categories in '26?
Jyri Luomakoski: We have not quantified sales by product or product category per se. As I said, on pet care, the initial feedback has been very positive when that was launched in the first market, our Ultra Axis, which was not on the slide, but one of the key launches doing a kind of a rebasing on the a wood prep category have had a very positive feedback and demand and restocked many times to key distributors also outside of Finland. So people are doing wood prep work also outside of the Nordics, as we have seen. So reception and feedback from the market have been very positive. And some of these, like power, it's a completely new category for us. Yes, we've been doing poppers, pruners, but all kinds of hand-operated, and now we are getting the help of power and electrical drives to do that. There, we don't yet have a baseline. But after the gardening season of this year, we are also happy to comment a bit more on the success and the reception, here at minus 10. I don't think too many people think about guiding tools. And in some geographies, we actually postponed the media launches just a few weeks to allow some type of spring thoughts coming into people's minds.
Joni Sandvall: Okay. And maybe to Jussi, a couple of technical questions, if you can give any comment of the timing of one-off items for '26?
Jussi Siitonen: As Jyri mentioned, the negotiations started just today. And therefore, it depends there. So most likely, most of that will be in the first half, but we get back more, let's say, a precise comment on that one once we are proceeding with the negotiations.
Joni Sandvall: Okay. And finally, on the CapEx split for '26, you mentioned tight CapEx discipline now in Q4. So what should we expect from '26?
Jyri Luomakoski: As you saw, we came down EUR 9 million in 2025 versus 2024, out of which EUR 6 million was in Q4. The full year level, what we currently have for 2026 is pretty well in line with what we had full year 2025.
Operator: There are no more questions at this time. So I hand the conference back to the speakers.
Essi Lipponen: Thank you for your questions. And we do have questions in the chat as well. So let's continue with those. First, related to Vita's program. Jyri, maybe if you take this one. Do you expect any negative sales impact arising from these plants?
Jyri Luomakoski: Not really. When I look at the plans and the structures, where do we want to tackle our cost position? This is something that doesn't lead to, at least in my view would have direct sales impact.
Essi Lipponen: Thank you. Then Jyri, if you continue, when do you expect the production to roughly match your sales volumes in Vita...
Jyri Luomakoski: Depends a bit on the category, product category, and technology. In some areas, it is likely to be this year. In some areas, it is more likely that it won't be yet this year, and we will be running the whole year with a kind of curtailed production, really to make sure that we get to our targeted net working capital structure. That's the prime focus here.
Essi Lipponen: And on the same topic, but maybe I will give this one to Jussi. Is Vita's 2024 gross margin, which was about 56.5, according to at least the one who asked the question. I don't have the number right here. Is that a relevant benchmark going forward once the production rates normalize? Or is there a permanent negative impact on the GM from some factors?
Jussi Siitonen: As we mentioned, the decline that we have had there, 240 basis points in 2025 versus 2024 in Vita, that's very much production volume related, not sales price volume related, but coming production. So, then, assumingly, the logic is correct without commenting on any numbers here. So once we get volumes up, of course, then this fixed cost absorption will improve.
Essi Lipponen: Then, about the Fiskars segment, I will hand this over to Jyri. The first half of 2025 was challenging for the Fiskars segment, especially in the U.S. market. What is your expectation for H1 this year?
Jyri Luomakoski: Well, as I said, we don't guide quarters. We don't even guide the halves. I don't see any when we had the turmoil of the tariffs in H1 last year. And after that, things have been more normalizing, and the American consumer has also been happy to shop if we leave the winter storms and those types of 1-week disturbances out of the picture. I wouldn't identify any change in the pattern that has started in H2, that New Year City would have changed that pattern in any direction. But as I said, quarterly or half-year guidance is not available, unfortunately.
Essi Lipponen: Yes. Then we have already discussed the leverage, but maybe if Jyri can discuss what the focused measures are aiming to reduce leverage, given that it has remained above your target for 2 years already.
Jyri Luomakoski: Three elements, I would say, when basically taking the cash flow statement, we are also guiding for improved profits to make more profits. And we need to remember leverage that's net debt to EBITDA. So it improves automatically even in the absence of net debt, not changing when the EBITDA increases. So that's key. Then, having the net debt element addressed definitely 2 key drivers. We've had some big-ticket CapEx items over the last couple of years, also partly relating to sustainability and kind of decarbonizing some of our production. And now, definitely the new launches, for example, at Fiskars, there are some tooling investments, et cetera, coming, but they are directly supporting business and the business growth, and keeping the brands relevant. But net working capital, as Jussi addressed, we have still clearly as our target to look at the net working capital turnover ratios that we had pre-COVID, then the roller coasters, a boom, and then some doom times out of that. And hence, the last few years are not a kind of acceptable benchmark for us. We set our targets higher and continue that work on the front. So EBITDA up and debt down. That's effectively what the formula also spells out.
Essi Lipponen: Thank you, Jyri. And one for Jussi about the higher silver and gold prices. What is the impact on the Vita or Georg Jensen margin?
Jussi Siitonen: This is very much Georg Jensen, both when it comes to gold and silver. So both metals, we have hedged. We have good hedges in place. You can imagine they are well into money at the moment because the hedge rates are coming from last year. Therefore, no immediate negative impact coming from those ones.
Essi Lipponen: Thank you. At this moment, we have only one question. Let's see if we get any more. We have a question about the dividend. Maybe we can give a recap on the proposal for this year, and maybe about our policy. The question is, is the dividend going to stay at EUR 0.84 a year? Or will it change? Jyri, if you still want to give a recap on that.
Jyri Luomakoski: The Board's proposal concerns the dividend payable out of last year, payable in 4 installments, EUR 0.21 each in the second half of the last month of every quarter, if I kind of remember the precise dates correctly. So from 2 to 4 installments in aggregate, the annual dividend, EUR 0.84. We are not taking any stance on dividends beyond those that are payable in '26. And the rationale relates to the policy, stable or growing dividend, our cash earnings, which are about 1.5x the proposed dividend, and that's basically the rationale in the tree. The Board considers always when making those proposals, the needs of the business, CapEx needs, and what is the outlook and confidence in the outlook. And I think that indicates also a certain level of confidence in the actions that we are taking and in the projections that we have for '26.
Essi Lipponen: Great. Thank you, Jyri. And it seems that we don't have any questions at this point. So thank you for your active participation. And I wish you a nice end of the week. And still, before we end the call, I would like to...